Operator: Greetings. Welcome to Audacy Inc.âs Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note this conference is being recorded. I would now turn the conference over to your host, Rich Schmaeling, Chief Financial Officer. Thank you. You may begin.
Rich Schmaeling: Thank you, Alex. Welcome to Audacyâs second quarter earnings conference call. A replay will be available shortly after the conclusion at the replay link or number noted in our release. During this call, the company may make forward-looking statements, which are based upon the companyâs current expectations and involve risks and uncertainties. The companyâs actual results could differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause actual results of different materially are described in the Risk Factor section of the companyâs annual report on Form 10-K. As such risk and uncertainties may be updated from time-to-time in the companyâs SEC filings. We assume no obligation to update any forward-looking statements except as may be required by law. During this call, we may reference certain non-GAP financial measures. We refer you to the Investors page of our website at audacyinc.com for reconciliations of such measures and other pro forma financial information. Iâll now hand the call to David Field, our President and CEO.
David Field: Thanks Rich. Good morning, everybody. Audacy began 2022 with a very strong first quarter in which we grew revenues by 14% and EBITDA by 152%. It looked like we were on a path to deliver 2022 financial results in the ballpark of 2019 results. Since then, deteriorating macroeconomic conditions and increasing uncertainty has caused ad spending headwinds, which had impacted our business. In second quarter our revenues grew 5%, within our mid single-digit to high single-digit guidance range, but definitely not the quarter we were expecting earlier in the year. Spot radio was up 1% including political with core flat, digital revenue growth accelerated from plus 16% in Q1 to plus 19% in Q2, and network radio grew by 7%. Podcasting revenues led the way at plus 27%, excluding the low margin Crooked Media business, which moves off of our platform in May. Podcast downloads grew 40% year-over-year, driven by continued strong growth in our local podcast business and our 2400 Sports podcast studio. The Audacy podcast network is one of the largest premium networks in the country. Number two by region, the Triton podcast ranker, reaching 40 million unique listeners worldwide and nearly one-third of all U.S. podcast listeners. Streaming listeners grew 18% during the quarter and we also achieve solid CPM growth on our streaming audio business. We also recorded growth in radio ratings performance, with our total radio ratings up 5% in Second quarter versus first quarter, outpacing the industry which grew by 3%. On todayâs call Rich and I will focus on sharing an assessment of where we are, where we are headed and how we plan to get there. Iâd like to start off by sharing a little context. Itâs worth pointing out that our 2019 EBITDA was $341 million and we were on pace to get into the high $300s in 2020 and approach 4 times total leverage. And then, of course, COVID struck. We had every expectation of getting back close to 2019 this year and weâre off to a great start in Q1. The twin punches of the pandemic and now the economic slowdown over the past two plus years have definitely adversely impacted our business. But itâs essential to distinguish between the adverse impact of the pandemic and slowdown on our business and Audacyâs fundamental strength and earnings potential going forward. Audacy has been meaningfully enhanced and is today a much stronger company than the one that generated $341 million in EBITDA in 2019. We have transformed and elevated our products and capabilities, and emerged as a scale multi-platform leader in audio, content and entertainment, with greater capacity to serve listeners and customers. Building on our strategic progress, we are aggressively pursuing a number of significant tangible opportunities to capitalize on our enhancements and drive substantial additional revenues and profitability. At the same time, we are acutely mindful of the macroeconomic uncertainties and have built a focused game plan to navigate through the turbulence so that we can emerge strong and healthy with robust opportunities intact. Let me walk you through the key drivers at a high level. Number one, we are making meaningful progress in bolstering our ad tech capabilities, addressing frankly an area of weakness. We have historically relied on third parties for services, which has adversely impacted revenues increasingly so in recent quarters. Our acquisition of AmperWave at the end of 2021 now provides us with a strategic ad tech foundation, which we have bolstered through additional staff investments and an aggressive product roadmap with important deliverables over the next several months that will materially reduce our reliance on third parties. Our emerging ad tech will enable us to unlock new pools of digital advertising demand, increasing our sell-through rates and improving yields, and also enable us to bring additional off-platform supply to market. It will also enable us to more effectively deliver holistic multi-platform ad products and programs that tap into our total audience of 200 million, including 60 million that are digitally addressable. Number two is the launch of our new Reimagined Audacy Digital Platform, which is rolling out in a series of releases during Q3 and Q4. We have made a large investment in building and developing new innovative technology to create a unique listening experience with exclusive content and unique capabilities and features to provide a more personalized curated listening experience. So let me share an example. If youâre a New Yorker, the Audacy app will provide you with essentially what you can get on the other leading platforms, plus the best in local sports and news with WFAN, the Yankees, Mets and Giants Games, 1010 WINS and WCS, plus a suite of new unique features to listen to radio as you never have before, such as new interactive chapter functionality, a first full live radio, so that listeners can scroll through to easily find and play topical content on demand from across our owned and partner broadcasts. We believe that our digital strategy will benefit from our distinctive competitive advantage in the quality of our premium exclusive original audio content led by our unrivaled leadership in local news and sports, and our critically acclaimed original podcasts. Our aspirations for the new platform are high. We expect to see significant increases in our digital audience usage and engagement along with richer data enabling -- enablement, bolstering our revenues and EBITDA in 2023 and beyond. Number three, our digital business continues to grow nicely and we see growing demand for all three of our primary digital businesses going forward. We have built one of the countryâs largest and most important podcast businesses through our acquisitions of C13, Pineapple Street Studios and the market leading Popcorn podcast marketplace, plus a significant amount of organic product development, including our new 2400 Sports Studio. We are expanding our off-platform digital audio business with recent exclusive sales agreements with Major League Baseball, Fox News, and now an exclusive sales partnership with CBS Sports podcast, which we announced earlier today. We also have built a rapidly growing digital marketing solutions business, and as noted, are poised to take a big step forward with our new and improved Audacy digital platform. Collectively, our digital business has grown from 10% to 22% of revenues since 2019 and is poised for a very bright future. Number four, under the leadership of former Spotify CRO, Brian Benedik, who joined us several months ago, we are meaningfully enhancing our national enterprise business development group, and deepening our engagement with leading national brands and ad agencies to garner significantly greater national ad spending that better reflects the scale and scope and capabilities of Audacy today. We believe our efforts are bearing fruit and will be successful in driving increased nationalized spending. Number five, well, one can debate whether or not weâre currently in a recession. The fact is that substantial portions of our business have effectively been in a deep recession since the start of the pandemic, from an advertising perspective, due to supply chain issues, most notably auto. So while a healthy number of our primary customer categories now exceed pre-pandemic spending levels, auto has remained 40% under 2019 levels. As our largest category, the shortfall in auto has been a key contributor to a gap versus 2019 revenues. We look forward to the day when supply chain issues are resolved and we return to a healthy supply/demand equilibrium in the auto market. GM made some encouraging remarks on their earnings call last week, we shall see. But if we returned to our pre-COVID auto spend levels that would represent about a $60, $60 million increase in our sales. Number six, expenses. We are working to enact substantial sustainable savings through a number of measures to improve margins and profitability across the business. We believe we will be able to deliver meaningful cost reductions without hindering our strategic priorities and growth plans. So each of these six specific tangible actionable growth drivers represents significant eight figures of potential EBITDA enhancement, collectively they provide plenty of opportunity for us to drive EBITDA back above and beyond 2019 levels with room to grow as economic conditions improve. And of course, as a leader in the growing audio market, we would also expect to see a general increase in advertising demand in a normalized recovering economy, where supply chain and staffing issues are resolved when economic growth resumes. In addition, we have a seventh non-operational focus area, which is the balance sheet. We will explore select non strategic assets sales, such as a parcel of land in Houston, which we expect to close later this month. We will also consider other pragmatic value creating moves to reduce our debt. And we are fortunate that as we work our way through the turbulent economic conditions, all of our junior debt and the majority of our total debt is not due until 2027 or 2029. Now before turning it over to Rich let me share some additional updates on the business. During the quarter we announced a significant expansion of our multiyear partnership with BetMGM, which they had become the official sportsbook of our BetQL Audio Network. We continue to make strong progress enhancing and building our exclusive podcast and digital content. As noted today, we announced an exclusive sales agreement for all CBS Sports podcasts. This past month, we launched our new exclusive streaming audio sales agreement with Fox News and a new platform partnership with Newsy and Court TV. We have ramped up our exclusive celebrity content on our platform, with unique programming from artists including Justin Bieber, Lizzo, Carrie Underwood, Jason Aldean, Harry Styles and more. And our 2400 Sports Studio is ramping up our NFL Podcast Network, with plans to launch regular podcasts on all 32 NFL clubs, plus the league for this upcoming season. Pineapple Street Studios continue their best-in-class critically acclaimed work, which included Will Be Wild part of our Amazon podcast slate partnership, an in depth investigation into the January 6 events that hit number one on the Apple podcast list, plus Project UNIBAM, which we developed in partnership with Apple TV. And one additional noteworthy data point that speaks to the health of the overall audio market. Americans are now spending 20 more minutes per day listening to audio, an 8% increase over Q2 21 according to the Edison Research Share of Ear report. In conclusion, these are uncertain times in our world, with many challenges and risks, but the potential exists for extraordinary investment returns. We are acutely focused on navigating through the turbulence and capitalizing effectively on the acquisitions, investments and enhancements weâve made to position the company for a bright future in the dynamic growing world of audio. With the additions of a strong leadership position in podcasting and meaningfully enhanced national sales organization, the rollout of a new Reimagined Digital Platform and emerging ad tech and data capabilities, Audacy is a stronger company than ever, with greater revenue and earnings potential under normalized market conditions. One should not conflate the impact of the ongoing macroeconomic disruption of the past two plus years as a reflection of the fundamental efficacy of the organization and its future. Mindful of challenges, we are excited by our plans and our robust set of opportunities and are deeply committed to the work ahead. And with that, Iâll turn it over to Rich.
Rich Schmaeling: Thanks, David. Good morning. Our total net revenues for the second quarter came in at $319.4 million, up 5% year-over-year and as compared to the 14% growth we posted in the first quarter. Our core spot revenues were flat, local spot was up over 3%, while national spot, which was up 5% in the first quarter was down mid-single digits. During the second quarter, we saw continued strong growth in recovery in a number of our key core spot advertising categories, including sports betting, which was up over 75% year-over-year, hospitals and clinics, which is our second largest advertising category was up 25%, the 12 get out and go categories, which we discussed during our first quarter call were up 56% and the casual dining and fast food categories were up over 20%. These 16 categories represented 20% of our core spot revenues in the second quarter versus just 14% last year and in the aggregate were up 42% year-over-year. It was also good to see that the auto dealer category grew by 1% in the second quarter after being down mid-single digits in the first quarter, and we hope this bodes well for the remainder of this year as auto supply chain issues start to recede and manufacturers have more inventory to compete for pent-up consumer demand. We continue to believe that these examples are strong evidence that the advertising categories that were severely impacted by the pandemic are returning to radio and that when economy gets back on track that our spot revenues led by local will continue to recover and will significantly narrow or close the gap the pre-pandemic levels of revenue performance. Our digital revenues in the second quarter were up 19%, and we saw strength across streaming podcasting and our digital marketing solutions revenue lines. As David mentioned, in July, we released the first version of our new streaming platform and we expect to make several other point releases to enhance the listener experience over the remainder of this year. This new platform will provide consumers with a personalized and interactive radio listening experience that we believe will drive increased listening and enable us to accelerate the growth of MAUs. We expect that this new platform will be an important driver of our growth in 2023 and beyond. Turning to the third quarter, clearly the level of uncertainty about the outlook is elevated. But based on where we are today, we projected our revenues for the quarter will come in flat to down low single digits. Moving to our operating expenses, our cash operating expenses for the second quarter came in at $281 million or up 6% year-over-year and exceeded our target. We made a number of investments in the quarter that we werenât able to dial back fast enough as revenues rapidly softened. The company is actively working to reduce its expenses and we expect to be able to reduce the rate of our expense growth in the third quarter to about 1% to 2%. We will provide more specificity about the scope and extent of our expense reduction actions and their impact on the fourth quarter and on 2023 during our third quarter call. Turning to our financial position, our compliance bases first-lien net leverage was 3.6 at the end of the second quarter, compared to our maintenance covenant of 4 times and our liquidity was $150 million. The company is working to control everything that it can control and has evaluated a range of projection scenarios incorporating the expected benefits of its actions, including the plan sales of several parcels of land. This analysis leads us to believe assuming that the severity and duration of any recession is more akin to the 2001 recession and not like the Great Recession, that we should be able to maintain compliance with the requirements of our credit agreements and that our liquidity should be sufficient to weather the slowdown in advertising demand. The company is continuously monitoring advertising market conditions and updating its projections. If we deem it necessary, the company would proactively seek compliance requirements waivers from his lenders. We believe it is also important to note that the companyâs upcoming 2024 maturities are all first-lien and that the companyâs second-lien bonds do not begin to mature until five years from now, in 2027. Again, assuming any recession that we face is not severe and that the recovery commences in the second half of 2023, we believe we ought to be able to refinance our $767 million of outstanding first-lien debt well before this debt matures in about two years. With that, weâll now go to your questions. Operator?
Operator: Thank you.  Our first question comes from the line of Aaron Watts with Deutsche Bank. Please proceed with your question.
Aaron Watts: Hi, guys. Thanks for having me on. Appreciate all the commentary. A couple of questions here. I guess Iâll start with -- Iâm curious how the declining macro conditions and the ad market headwinds youâre experiencing played out in your markets in terms of both volume and rates? Can you talk a little bit about what youâre seeing on those fronts and again the competitive dynamics on the ground right now?
David Field: Sure. Itâs -- what we find is that there is just some pause, and that advertisers, obviously, many of them are conducting business as usual, but some of them are just a little more hesitant and being a little more cautious as they look at the same general uncertainty that weâre looking at. And again, weâre up 5% in Q2, but weâre expecting significantly stronger as we were going end of the quarter.
Aaron Watts: And then at any kind of monthly cadence, you can talk to, like, as you exited kind of 1Q into 2Q, and then exited 2Q into 3Q. Were you seeing any themes like the start of the quarter were softer and got stronger as you went on, any commentary around that?
David Field: Yeah. We have seen that pattern. Others have spoken to that that the quarter -- the beginning of the quarter starts a little softer. Our July was flattish, which may be useful here. And the other thing that we see, which itâs a little early to talk about, but Aaron, as we look to fourth quarter, and again, itâs really early, so nobody should be looking too much at this, but with about 40% of the business in, we are pacing up 10% in fourth quarter with political really not in that number yet at all. So we find that encouraging, but again, itâs early and I wouldnât over overemphasize it, but itâs a useful data points.
Aaron Watts: Okay. Rich, maybe I point a couple your way here, on the potential cost savings that youâve worked through any kind of goalposts around how much you think you can save from those actions?
Rich Schmaeling: Yeah. So I think if you look at our expense performance so far this year, you go back and see in the first quarter our expenses grew 8% year-over-year. Theyâre growing -- they grew 6% year-over-year in 2Q, weâve given guidance that for 3Q expenses will be up 1% to 2%. So we are making substantial progress. We are working on a program to meaningfully reduce our expenses and we will provide further details about the scope and extent of those actions on our third quarter call.
Aaron Watts: Okay. And maybe similar question on the land sales or other non-core asset sales, any idea of proceeds range that we should think about that that could generate?
Rich Schmaeling: Not at the moment, Aaron. But weâre working, as David says, a lot of things weâre considering and working on and the company is being very proactive in managing through this slowdown. And so we -- as soon as this -- as weâre more able to we will absolutely share further specificity.
Aaron Watts: Okay. And if I could get that one more and I appreciate all the time, Rich, youâve talked about your desire to deleverage, you have bonds right now that are trading at a fairly significant discount. As you think about your current liquidity position and the cash flow outlook, would buying back bonds be something youâd consider as the use of your cash and can you remind us if thereâs any covenant limitations on you buying bonds in the open market and thatâs it for me? Thank you.
Rich Schmaeling: Yeah. So, we havenât, we did buy back a small amount of our bonds at the very outset of the quarter, frankly, before the revenues started pacing down and softening fairly significantly, sequentially. And at the moment, weâre not focused on or interested in using cash to buyback our bonds.
Aaron Watts: Okay. Thank you.
Operator: Our next question comes from a line of Dan Day with B. Riley Securities. Please proceed with your question.
Dan Day: Yeah. Good morning, guys. Appreciate you taking the questions. A lot of mentions about this new digital platform that rolled out in July, you mentioned of your new pools of ads and just maybe how quickly you think that could start showing up in the financial, like, is this, like, a back half of the year acceleration in revenue or is it something that might take a little bit longer to start having an impact? And then maybe just also if you could give us an update on like the ballpark figure for what margins look like in the digital and podcasting business today and then how you expect those to trend over time?
David Field: Let me take the first question, Dan, and then, Rich, will grab the second. But so, yeah, we are very excited about this reinvented Audacy digital platform, which we do think itâs going to deliver, again, impact on usage, engagement, and ultimately, revenues and EBITDA. Itâs going to come out in a series of releases over the course of the next few months that will collectively be substantial in terms of the impact on listener experience and our capabilities. But I think from a financial standpoint, we look at it beginning to have an impact in 2023. I think weâre still in a ramp mode. We might get a very negligible kiss  in the fourth quarter, but I view it as a 2023 event from the standpoint of impact on our numbers. And Rich?
Rich Schmaeling: Yeah. And then, Dan, from the digital product line, when we look at the profitability of our digital product lines in the aggregate on a marginal basis, so not burdened with overhead, that margins in the low-mid low-to-mid 20s. And we look at our podcasting business we are making progress, when I look at our gross margin for that product line, so revenues less all of the costs directly associated with content, like, rev shares to other publishers. Weâve expanded our gross margin by over 10 points year-over-year year-to-date. So, look, weâre making great progress for us. We need spot to rebound. We see lots of evidence of categories that were significantly impacted by the pandemic rebounding, and as David said, earlier, the first quarter started out great. We beat our internal plan. And then, unfortunately, things have to celebrate it. But from our perspective, the fundamental outlook in terms of the businessâ ability to generate revenue growth and profitability looks better today than it looked, frankly, two years ago. And we just need to get to the point where financial market conditions are better.
Dan Day: Got it. Thanks for the color. Appreciate it. And just maybe any specific plans you have in regards to the NYSE listing requirements? Like, do you feel like you can get back to compliance just through like execution and results or do you think something like a reverse split or something else you might have considered to get back in compliance within that six month timeframe?
Rich Schmaeling: So, weâre discussing that now internally and weâll be discussing it with our Board. And so the company hasnât yet decided how best to proceed. We sure hope and expect if the stock marketâs right and weâve all seen interest rates falling quite a bit and mortgage rates have fallen below 5%. Hopefully, the stock market is sniffing out a turn in the economy. Weâll see. So, I think that, all options are on the table. We intend to regain compliance. We hope we do it through stock price appreciation.
Dan Day: Great. Well, appreciate the time for taking the questions. Thanks both.
David Field: Thanks, Dan.
Rich Schmaeling: Thank you, Dan. P
Operator: Our next question comes from a line of Avi Steiner with JPMorgan. Please proceed with your question.
Avi Steiner: Good morning. Thank you. Two topics here. First, Iâd like to start on the expense side. I know itâs been tackled a couple of different directions. But just drilling down a little bit, can you elaborate or give us more detail beyond just investments and maybe bucket out between the digital platform and other inflationary costs that were there in the quarter? And what Iâm really trying to get at is, perhaps, what may be more permanent than previously appreciated and what may have been one timer over this quarter and last couple, and then I have more thing?
Rich Schmaeling: Yeah. Look, Avi, weâre hoping that the, we could point to and show you that, our expense growth in the first quarter was up 8%, up 6% in the second quarter, our guidance ranges about 1% to 2% in the third quarter. So I hope people see that we are already significantly pairing our costs. We did have planned investments to in marketing and other, Iâll say, discretionary investments that we have had to pare back given current market conditions. And so the company is working hard now to reexamine everything and come our third quarter call, we will absolutely give more specificity about the scope and extent of our reduction actions.
Avi Steiner: Okay. And then my second topic and thank you for the time, the revolver balances up $60 million sequentially, right? You put out an adjusted free cash flow number. I havenât seen a Q yet, about $18 million use. I know that doesnât include working capital, but Iâm wondering if you can bucket the delta and what led to the revolver draw beyond that, and obviously, the small bond buyback and just how you think about the revolver balance and how we should think about it going forward? Thank you.
Rich Schmaeling: Yeah. So thereâs no doubt, Avi, when you look at our earnings release, youâll see that our CapEx investment in the second quarter was $32 million versus $12 million in the same quarter in 2021. And year-to-date weâve spent close to $47 million versus $20 million in the same timeframe in 2021. And that was the push to get the new platform to market. That investment -- Iâll say, the heavy lift of that investment is behind us. Thereâs more work to go, of course, and the work will be ongoing to continue to enhance our consumer proposition and to bring more features and benefits to market for advertisers. But we call it the booster rocket phase, like the booster rocket phase to escape gravity is behind us. Weâre now on stage two. And so you will see our CapEx investment slow considerably in the second half of this year versus the first half and that was a big driver of the consumption of cash during the first half of 2022.
Avi Steiner: Okay. I thought that may have been reflected in adjusted free cash flow, but I can circle back, right? Just very last one on that CapEx number, I think the full year guide had been $75 million, if I am not mistaken. Is that still the case? And then can you remind us what the maintenance level should be once this launch is behind us? Thank you.
Rich Schmaeling: Yeah. So weâre not going to -- that $75 million numbers about right for the full year. So implying that the second half spend will be about half the rate of the first half spend. And of course, when we were looking at from a maintenance perspective, that numbers in the high-teens, so thereâs a lot of flexibility to dial back our spend in 2023 and we expect we may need to do that if advertising market conditions donât start to rebound.
Avi Steiner: I appreciate it. Iâll turn it over. Thank you.
David Field: Thanks, Avi.
Operator: Our next question comes from the line of Steven Cahall with Wells Fargo. Please proceed with your question.
Steven Cahall: Thanks. Maybe first, Rich, just a follow-up on a few of those questions in this line of thinking, when you just add it all up, including the lower CapEx in the second half and some of the working capital movements in the business? Do you expect that youâll generate cash this year and that would be before any debt reduction or that sort of thing? Just trying to figure out in a tough macro environment, do you think you can generate cash or is that going to be challenging unless the macro improves?
Rich Schmaeling: Look, weâre not prepared at this point in time to give guidance for the rest of year. So itâs hard, itâs uncertain. And so I really donât want to comment on the outlook for the remainder of this year.
Steven Cahall: Yeah. Thatâs fair. And then maybe just a big picture one for maybe you can each jump in on this one, but it seems like the capital structure was built on the company with a different level of earnings power in mind. I know a lot has happened, including COVID, including recessions since then. When you think about the capital structure, do you think that it is possible to maintain it at this level or is the business better off in some way shape or form with a different capital structure and being prepared for an environment where just the run rate earnings even in a more normalized environment are a little bit lower? Thanks.
David Field: So letâs again put some context around this, right? As I mentioned in my earlier remarks, in 2019, we had $341 million in EBITDA and we were heading to the high $300s in 2020 before COVID hit and very much heading to a 4-time multiple. And weâre a stronger company today in terms of earnings power and potential than we were before. And I think, again, demonstrably across so many areas of business that, frankly, didnât even exist three years ago, and today, we established leadership positions, whether itâs podcasting and the exciting opportunities in this next wave of our -- enhancement of our Audacy digital platform, our digital marketing solutions business, our sports betting business and so much more. So we absolutely see that potential there. Itâs unfortunate that the pandemic and the recent macro slowdown have impacted us at a time we were making big strategic transformative. So, yes, weâre in an uncertain time. But as a stronger company, the opportunity is there for us to drive through this. Capitalize on what we made, I would refer you also back to the list of the six key drivers that are all substantial and weâre focused very much on executing against that soberly, but capitalizing on a lot of hard work to put us in the strategic position that weâre in today. Rich?
Rich Schmaeling: Okay. This -- would echo that comment that, we think this is a good company. We think we have a lot of opportunity for growth. And weâve all had some tough knocks. And but we think we can muscle our way through what looks to be a slowdown. And on the other side, we think thereâs a lot of things that give us confidence that the company is going to see accelerated growth. No doubt, we are making meaningful progress, building the capabilities that will enable us to more fully participate in the growth in digital audio advertising. We have not had all of the bricks in place, but weâre getting there. And so weâre focused on execution and weâre sure, of course, hopeful that, the economic outlook starts to turn and thatâs how we see it.
Steven Cahall: Thanks. And then maybe just as a follow-up, I was wondering if you could just drill down on the podcast business a little bit. What kind of growth do you see ahead? Is there any negative impact there in the slowing ad environment or is it really a unique one and where are you on margins these days in podcast? Thanks.
David Field: Let me start on that and then, Rich, you may want to add some additional words. As we mentioned, weâre still seeing really strong growth in the podcast business with downloads up 40% during the quarter. And we also mentioned that we have some ad tech improvements coming online, which we believe will significantly accelerate our growth. Our podcasting revenue growth was looks like pretty much in line with industry numbers that we have seen. But we continue to make strategic tweaks or pivots within the business, looking to drive the higher margin areas from our self-generated podcasting, our local business, weâve mentioned the 2400 Sports Studio, which is an organic launch to really ramp up our sports podcasting content. So there are a lot of moving pieces. But we are not seeing any significant macro impact on demand within podcasting and we still see great opportunity going forward for this business, which, again, we have a very strong position. And Rich, I donât know if you want to add to that?
Rich Schmaeling: Yeah. Look, Iâd like to add to that by saying, right now the -- weâre punching above our weight in terms of our audience share versus our revenue share. And so thereâs a gap today between our audience share and our revenue share, and we think thereâs a significant opportunity to close that gap over the next 12 months or so. And so thereâs some inherent growth potential in our current position that we havenât been yet able to fully capitalize. Weâre coming around the bend. And then when I think about the profitability of our podcast business, weâve made some tough choices to reshape the mix of our content. And as I said earlier, in response to Aaron Watts question, weâve increased our podcast gross margin year-to-date by over 10 points. And so we are on our way for that business to be a low 20s contribution margin and so itâs -- we expect itâs going to be an increasingly profitable business over the next several years. And itâs a really attractive adjacency, of course, to our core radio business and we think a really important part of the overall audio proposition on our platform. So important strategically to our total audio proposition and a market space thatâs seeing very significant demand. And frankly, as I said, we are doing substantially better from an audience share than a revenue share. But thatâs, hopefully, a gap that weâre going to close over the next months.
Steven Cahall: Great.
Operator: Thank you. Our next question comes from the line of Craig Huber with Huber Research Partners. Please proceed with your question.
Craig Huber: Great. Thank you. Why donât we start with the podcast please? Maybe I missed this early on. What was the podcast revenue in the quarter or the year-over-year percent change, please?
David Field: What we announced is that the podcast revenues were up 27%, excluding the departure of Crooked Media, which left our platform in early 2019.
Craig Huber: What was the all in percent change then if you donât mind me asking?
Rich Schmaeling: Upper teens.
Craig Huber: Okay. Great. Thank you. Now, if I could ask, in your guidance, I think, youâve said, for total revenue flat down slightly in the third quarter, if I have that right. Are you assuming a significant slowdown in podcasting and digital in the third quarter or somewhat similar trends? How you sort of think about that data youâre seeing so far?
Rich Schmaeling: Yeah. We still expect digital growth in the quarter and we are seeing some slowdown as we saw in 2Q in spot advertising. So, look, I donât think that digital advertising is immune. But I think weâve seen at least in 2Q that across the audio companies that digital audio advertising has been relatively stronger than other digital media and weâre seeing continued strength in the third quarter.
Craig Huber: And then, Rich, on your spot ad revenue categories, what material -- what categories are materially trending different in the third quarter versus what you saw in the second quarter, I know you donât want to call up both positive and negative side, but itâs trendedâ¦
Rich Schmaeling: Yeah.
Craig Huber: â¦materially different?
Rich Schmaeling: Sure. So we did see in the second quarter a pretty meaningful slowdown in the mortgage lender category. That is our third largest category. It really did slow down quite a bit from what -- how it performed in the first quarter and itâs still quite slow at this point in the third quarter. We also saw auto insurance slowdown quite a bit. They had spent more in 2021 than they had pre-pandemic and it looks like theyâre kind of reverting more toward the mean and but thatâs -- itâs slowed down quite a bit. Weâve seen a slowdown in the government category. We did have quite a bit of money last year for Department of Health related communications thatâs slowed down, as you can imagine. And then whatâs interesting so far at least is, we reported, Craig, that the auto dealer category, which typically has been about 75% of our total auto money, so the Tier 3 money, the dealers themselves typically have been about 75% of our total auto money. It did get its nose above water the plus 1% in 2Q and we are seeing in 3Q pacing, that the auto category in total both Tier 2 and Tier 3 is pacing up more strongly. Hope that sticks, but so far at least auto was pacing more strongly in 3Q than it did perform in 2Q.
Craig Huber: And then on the cost side, you guys obviously did a Herculean job on the costs in the throes of the pandemic two years ago and stuff and I assume a lot of those cost savings were permanently embedded in your cost base here and stuff. I just sort of think forward from where youâre at right now. How hard is it to try and take out material costs here on a permanent basis, given where the economy are at right now, unfortunately?
Rich Schmaeling: Look, we have we have the ability to reshape our cost structure and adapt to market conditions and weâre actively working to do that now. And -- but it is not getting easier. And but we look forward to sharing with you the results of this work during our third quarter call and I think youâll see that we are making and we will have made significant progress. And I tried to point it out, Craig that, if you look at the sequential performance up eight, up six, up one, two in 3Q, we are already making very substantive progress and weâll make further progress still. So and we will give you more detail in our third quarter call.
Craig Huber: I appreciate that. My last question guys ratings for your legacy radio operations. Is there any updated data that you can give us there, though, thatâs trending versus a year ago?
David Field: Yeah. I mentioned in my remarks that the ratings for our aggregate station group were up 5% in second quarter over first quarter and that compared to industry growth of 3%.
Craig Huber: Thatâs great. Okay. Cool. Thanks, guys.
David Field: Thanks, Craig.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call back over to David Field for closing remarks.
David Field: Well, we appreciate everybody joining us here this morning and look forward to reporting back to you again next quarter. Thanks so much. Take care.
Operator: Thank you. This concludes todayâs conference and you may disconnect your lines at this time. Thank you for your participation and have a wonderful day.